Operator: Good day, and welcome to the Cineplex 2017 Third Quarter Analyst Conference Call. Today's conference is being recorded. And at this time, I would like to turn the conference over to Ms. Pat Marshall, Vice President of Communications and Investor Relations. Please go ahead, Ms. Marshall.
Pat Marshall: Good morning. Before beginning the call, we would like to remind you that certain statements being made are forward-looking and subject to various risks and uncertainties. Such forward-looking statements are based on management's beliefs and assumptions regarding the information currently available. Actual results could differ materially from those expressed in the forward-looking statements. Factors that could cause results to vary include, among other things, adverse factors generally encountered in the film exhibition industry, risks associated with national and world events, discovery of undisclosed material liabilities and general economic conditions. I'll now turn the call over to our President and CEO, Ellis Jacob.
Ellis Jacob: Thank you, Pat. Good morning and welcome to Cineplex Inc.'s 2017 third quarter conference call. We are pleased you could join us this morning. I will begin by providing a brief overview of our third quarter results and a summary of our key accomplishments during the period. Then we'll take a look at some of the films coming out this holiday season and into the first half of 2018. At the conclusion of my remarks, our Chief Financial Officer, Gord Nelson, will provide an overview of our financials, and then we will follow with the question-and-answer period. The results this quarter were mixed and adversely affected by the quality of film product. This, coupled with incremental costs related to the opening ramp up and integration of our new business initiatives, resulted in a decrease in adjusted EBITDA for the quarter. Gord will speak to these results in more detail later in the call. Top performing films during the period included Spider-Man Homecoming, IT, Despicable Me 3, Dunkirk, and War For the Planet Of the Apes. Although these films performed well, especially IT, which went on to become the highest-grossing horror film of all time, many others did not meet expectations, which resulted in a decrease in attendance of 12.8%. Excluding the month of August, our net box office for July and September together, were up, compared to the prior-year period. The decline in the August box office negatively impacted the results for the quarter. If we exclude Suicide Squad from 2016, the box office for this quarter would have been up compared to the prior year. Looking at the other key metrics, BPP of $9. 81 and CPP of $6.01, both represented new third quarter records for Cineplex. Now, I would like to highlight some of our key accomplishments during the quarter, beginning with Film Entertainment and Content. During the quarter, we announced plans to further expand and enhance our virtual reality offerings in our cinemas. Canada's first IMAX VR Center opened at our Scotiabank Theatre Toronto last week. It offers guests an immersive multi-dimensional virtual reality experience, including movie entertainment content and games. In addition, we will be piloting the installation of a D-BOX VR system in our Scotiabank Theatre Ottawa. This system will be installed in the theater's lobby and include 10 D-BOX VRC. We now have multiple VR facilities in The Rec Room and our theaters, including the VOID, IMAX and CTRL V [ph]. We believe there is a significant opportunity to leverage our theaters and location-based entertainment guests with a traction-based virtual reality offerings to generate incremental revenue. Also during the quarter, we announced an agreement with IMAX to install two new IMAX auditoriums, one at Cineplex Odeon Eglinton Town Centre Cinemas in Toronto, which opened last week in time for Thor: Ragnarok, and the other at Cineplex Cinemas Normanview in Regina Saskatchewan, which will open in the first quarter of 2018. This will bring the total number of IMAX auditoriums in our theaters across Canada to 25. Alternative programming for the third quarter of 2017 included the Mayweather versus Mcgregor match featured within our Rec Room and VIP Cinemas, as well as concerts including Andre Rieu's Maastricht Concert and David Gilmour's Live in Pompeii. Other performances for the quarter included international films in Mandarin, Hindi, and Punjabi within select markets across the country. Looking at our online initiatives, Cineplex.com registered an 18% increase in visits during the third quarter, compared to the prior-year period. Additionally, the Cineplex Store registered a 66% increase in device activations and a 73% increase in monthly active users. Moving to Media. Media was faced with a top third quarter with declines due to decreased on-screen cinema advertising at the timing of digital signage installations. Additionally, although we are not yet able to formally announce the new client, Cineplex Digital Media signed an agreement and has started to roll out installations with a major U.S. bank to provide digital solutions into its 1,000 plus branches. Installations have commenced and will be substantially complete in the short term. Moving on to Amusement Gaming and Leisure. During the quarter, we opened our second Edmonton location of The Rec Room at West Edmonton Mall. This shopping center attracts more than 30 million visitors every year. Subsequent to quarter-end, we opened our fourth location in Calgary at Deerfoot City. We remain focused on our plan to open 10 to 15 new locations of The Rec Room over the next few years with complexes already announced from London, Mississauga and Vancouver. Subsequent to quarter-end, we also announced plans to roll out a similar small-sized entertainment complex in communities across Canada under the reinvented Playdium brand. Playdium's primary audience is targeted to teens, their friends and family, and those looking for an affordable option for everyday play and casual dining, whereas The Rec Room is designed with millennials at the primary target market with the wider food and beverage offering. We plan to open our first Playdium location in Whitby, Ontario by the end of 2018. In Esports, some of North America's most talented and tenacious gamers came together in battle for over $90,000 in prizes and the coveted championship title for WorldGaming Counter Strike: Global Offensive. The competition was held at our Scotiabank Theatre Toronto in September with local fans and spectators enjoying the live competition in theater and others from around the world tuned in via Twitch TV. On Friday, we announced a three-year sponsorship agreement with the National Football League, that will bring Sunday Night Football and Superbowl Live to select Cineplex theatres across Canada. The agreement also includes access to NFL brands and trademarks, as well as events, sponsorship and marketing opportunities for Cineplex, including WorldGaming, The Rec Room and Cineplex Store. Now let's take a look at some of the films we have for the balance of the year and what's in store for early 2018. Opening last week, we had Marvel's Thor: Ragnarok, the third film in the Thor standalone series, starring Chris Hemsworth and Mark Ruffalo. The film exceeded expectations opening to an impressive $123 million and is the fourth largest opening weekend film of 2017. Looking at the rest of the month, we have the sequel Daddy's Home 2, starring Mark Wahlberg and Will Ferrell, opening on November 10. Then on November 17, we have Three Billboards Outside Ebbing, Missouri, which was the TIFF audience award winner this year. Next, we have the highly anticipated film, Justice League, where DC comic's favorite superheroes come together in theaters on November 17. And Disney's animated film Coco, which is a story about a young musician's journey through the land of the dead, opens on November 24. We will see a number of exciting films open in December, including the next chapter in the Star Wars Trilogy, Star Wars: The Last Jedi opening on December 15. We are very pleased with the advance ticket sales to-date. Then on December 20, a French film Le trip à trois goes wide in Quebec. Mark your calendars for December 22, as we have five new films opening, including the third installment of Pitch Perfect; Jumanji: Welcome to the Jungle, starring Dwayne "The Rock" Johnson; The Greatest Showman, starring Hugh Jackman; Downsizing with Matt Damon, and Kristen Wiig; and Molly's Game, the true story of Olympic-class skier, Molly Bloom who ran the world's most exclusive high-stakes poker game and became an FBI agent. As you can see, we have what appears to be a promising film slate for the holiday season and are encouraged by what's coming up in 2018. Films such as Fifty Shades Freed, the third installment of the Fifty Shades Trilogy, Red Sparrow, Ready Player One, Avengers: Infinity War, Deadpool 2, Jurassic World: Fallen Kingdom, then in the next Spider-Man movie and the Fantastic Beasts sequel to name just a few. Before I turn the call over to Gord, I would like to address a few of the common questions we have received over the past several weeks, while meeting with the investment community. Do we believe box office results to be cyclical or systemic? If you have followed our box office over the past 14 years, you will know that we have had periods of both strong and weak box office. The exhibition business is dependent on Hollywood film product and as such as outside our ability to control. However, previous years have generally not had 2 soft quarters run consecutively as they did this year. Additionally, the North American industry has delivered record-breaking results for four of the past five years, and also the first half of 2017. As discussed earlier, the third quarter decline resulted from the poor results in August and one month does not equate to a systemic decline. We categorically believe this to be a cyclical content-related scenario and look forward to a strong film slate for the fourth quarter that will continue into 2018. Another question is, what will the impact of premium video on demand or PVOD be to exhibition? Unfortunately, there has been a great deal of speculation in the press over the past few months on this topic with much of the information being inaccurate and speculative. This has had a negative impact on all of the exhibition industry stock prices, including our own. I would ask you all to keep in mind that our fundamental notes have not changed. Our business, which we have diversified over the past few years, remains strong and will continue to grow and if PVOD does come, it will be designed to grow the price for studios and exhibitors alike. The movie business is strong and it is exhibition, not the home entertainment part of the business that continues to deliver results. Studio executives do not want to trade dimes for nickels and hurt a business that has been so successful. Theatre exhibition is the engine that drives the train. It is a social experience, which drives the overall success of the film through its life cycle. Unfortunately, the home entertainment side of the business has been losing revenue year-over-year for several years, which are the losses the studios are trying to offset with PVOD. I will conclude by saying, we remain encouraged by the outlook for the fourth quarter film slate and are confident that we are positioning the company for success in the future. I do not want to minimize the quarterly results; however, our company has delivered steady growth due to a strong entrepreneurial management team that is focused on creating long-term growth and a diversified company. Our start-up businesses will continue to evolve and will make meaningful contributions to the company in the future. With that, I'll turn the call over to Gord.
Gord Nelson: Thanks Ellis. I'm pleased to present the third quarter financial results. For your further reference our financial statements and MD&A have been filed on CDAR this morning, and are also available on our Investor Relations website at cineplex.com. For the third quarter, total revenue decreased by 1.5% to $370.4 million and adjusted EBITDA decreased by 12.6% to $58.8 million. A 12.8% decline in attendance from a weaker film slate resulted in lower box office, theatre food service, and media revenues. This decrease more than offset a $48.9 million increase in amusement revenues, which was primarily a result of acquisitions in P1AG business. These decreases coupled with costs arising from our diversification strategy, included $4.4 million in integration and pre-opening costs resulted in EBITDA decrease. Cineplex's third quarter box office revenue decreased 11.3% to $164.5 million, compared to $185.4 million in the prior year, as a result of net attendance decrease of 12.8%. This was partially offset by a BPP increase of 1.7% to an all-time third quarter record $9.81, up from $9.65 in 2016. The increase in BPP is primarily due to select price increases and certain markets as compared to 2016. Food service revenue decreased 2.3% to $107 million. Included in food service revenue is $6.3 million from The Rec Room. Excluding Rec Room, adversary revenue from The Rec Room theatre food service revenue decreased by 7.8% this year, due to the decrease in attendance, partially offset by the 5.6% increase in concession revenue per patron to a third quarter record of $6.01. The CPP growth was primarily a result of increased visitation, increased basket size and expanded food offerings, including those available at Cineplex's VIP and Outtake locations. Total Media revenue decreased $5 million or 11.1% to $39.9 million for the quarter. Cinema media revenue, which is primarily theatre-based, decreased 5.8%, due to a decline in cinema advertising. Digital place-based media revenue decreased 20.9% due to lower project installation revenue compared to the prior-year period, as the prior year included the impact of project work for a provincial tourism marketing partnership. We increased our location count by 1.9% or 226 new locations to a total of 11,847 locations. New clients announced in late 2016 are in the QSR sector. And QSR sector deployments typically take three years to four years to roll out, given the franchise relationships. Ellis mentioned earlier that we have begun deployment for a new U.S. financial sector client in excess of 1,000 branches. A financial sector client, would typically deploy over an accelerated timeline and as such, we would expect this deployment to occur over the near term. Amusement revenue increased $22 million or 81.5%, due primarily to two acquisitions in the U.S. made during the fourth quarter of 2016 and the acquisition on April 1, 2017 of Dandy Amusements International, Inc. In addition, Amusement revenue includes $4.3 million of amusement gaming and other revenue earned at The Rec Room. Turning briefly to our key expense line items. Film costs for the quarter came in at 50.6% of box office revenue, as compared to 51.5% reported in the prior year. The decrease in the film cost percentage was primarily a result of the lack of strong product during the quarter. Cost of food service for Q3 2017, excluding $2 million incurred at The Rec Room was 21.5% as compared to 22.2% in the prior-year period. Cost of food service at The Rec Room was 31.3%, which is in line with expectations. Other costs of $204.8 million increased $15.7 million or 8.3%. Other costs include theater occupancy expenses, other operating expenses and general and administrative expenses. Theater occupancy expenses were $52.3 million for the quarter versus a prior-year actual of $51.7 million, primarily due to the inclusion of favorable one-time real estate tax credits in the prior year. Other operating expenses were $143.4 million for the quarter versus a prior year actual of $120.4 million, an increase of $23 million. Major reasons for the increase include: an increase of $15.8 million in amusement solutions expenses primarily due to the two acquisitions completed during the fourth quarter of 2016 and one in the third quarter of 2017; an increase of $0.4 million due to the impact of new and acquired theaters, net of disposed theaters; $7.8 million in unit level operating costs related to The Rec Room; and an increase of $3.4 million in costs related to the new businesses including pre-opening costs for The Rec Room and integration costs incurred by P1 AG. These increases were offset by decreases in other costs, including a $2.9 million decrease in payroll due to proactive cost controls and a $1.3 million decrease in media cost due to the decrease in media revenue. G&A expenses were $9.1 million for the quarter, which was $8 million lower than the prior-year period, due to the reduced costs arising from share-based compensation, mainly due to Cineplex's lower stock and share price. Net CapEx for the third quarter was $45.3 million as compared to $27.5 million in the prior year. Current year expenditures include amounts for ongoing construction of the three new Rec Room locations and the continued rollout of our Recliner program. We continue to estimate that our net CapEx will be approximately $150 million for 2017. And this includes $40 million related to our Recliner program and $10 million related to new business initiatives and retail concepts in the Player One Amusement Group business. For 2018, we continue to estimate that our net CapEx will be approximately $125 million as previously communicated. Also during the quarter, under provisions in our existing credit facility, we increased our revolving facility by $75 million with a purpose needing to fund new acquisitions, the convertible debenture maturity, capital expenditures including the recently announced Topgolf partnership, and the normal course issuer business. On September 7, we announced a normal course issuer bid and during the quarter, we acquired 157,192 shares which were canceled for an aggregate cost of $6 million. While results for the third quarter were down from the prior year, we continue to remain comfortable with where Cineplex Inc. is positioned today. We look forward to benefiting from future strong film product. We are in the early execution phase of a number of our diversification initiatives and our balance sheet allows us to continue to invest in these growth initiatives to deliver ongoing benefits to our shareholders in the future. That concludes our remarks for this morning. I would now like to turn the call over to the conference operator for questions.
Operator: Thank you. [Operator Instructions] We will go ahead with your first question from Mr. Drew McReynolds from RBC. Please go ahead.
Drew McReynolds: Thanks very much. Good morning. A couple for me. First on Cineplex Digital Media, Gord or Ellis, you alluded to a new contract. Did we see any of that revenue in Q3 or is that all forthcoming? Second question, just on the integration cost for P1 AG, do those phase-out now in Q4, or do they continue? And then lastly, just on The Rec Room, can you comment on maybe some different performance across the different locations, if there is a different performance in what you're expecting, just maybe a little bit more granularity on operations to-date? Thank you.
Gord Nelson: Thanks Drew. On the CDM question. So, the new agreement that Ellis referred to, we have - we are just commencing the roll-out in the fourth quarter. So, there is nothing included in the third quarter results for that new customer. And your question on the integration costs related to P1 AG. I would suggest that your fee integration costs over the first year of integrating the various assets, so the last acquisition was done in April of 2017, so I would expect that we will continue to see some additional costs into sort of through the first half of next year.
Ellis Jacob: And looking at The Rec Room, as of now, we've got four in operation. We are very pleased with the one that we opened in South Edmonton, which we've had for years of business. As you know the one down at the Roundhouse is doing extremely well and exceeding our expectations. West Edmonton opened slightly soft and we are working on that marketing program as we move that location forward, and Calgary at Deerfoot opened strong also.
Drew McReynolds: Okay, thanks very much.
Operator: And our next question will come from the line of Aravinda Galappatthige from Canaccord Genuity. Please go ahead.
Aravinda Galappatthige: Good morning. Thanks for taking my questions. I'll start with Media. Cinema advertising, cinema media, it seems to have been flattish in the recent times and it's down now 5.8% in Q3. I wanted to get your thoughts in terms of sort of the structure of the deals that have right now the ad contract. From a structural basis, Ellis, what are you looking to change there, I mean in terms of maybe the structural breakdown or maybe the length of the contracts? Is there anything that - any initiatives that you are thinking about that will potentially kind of revive the growth in that sector?
Ellis Jacob: Well, we continue to look at opportunities to work with our partners that have spent money with us in the past. We’ve also got specific contracts with companies like Scotiabank and Coca-Cola. So those ones are recurring contracts, but what ends up happening Aravinda is, sometimes budgets are moved from one quarter to the next depending on product launches, depending on where things are at. So, we do see that this quarter was a softer quarter. But when you look back a couple of - from 2015 to 2016, we grew the business by close to 16% and we are anticipating that we will have a strong fourth quarter given the movie slate and the prior advertisers with the movies that we have coming into the fourth quarter. So, I think it's not something that is going to continue, it just happens to be that we got impacted this quarter because of budgets of advertisers and also the timing, but we’re quite comfortable with the fourth quarter numbers.
Aravinda Galappatthige: Okay, thanks to that Ellis and just a bigger picture question. In light of sort of the headlines around movie parts that we saw in the last few months, can you maybe just sort of revisit the subscription model? I know it's something that's sort of been utilized in U.K. and maybe in certain parts of Europe. If you don't mind, just maybe revisit the pros and cons of that model. I mean, is that something that you reconsider down the road in the light of some of the recent developments?
Ellis Jacob: Aravinda, we continue to experiment and we had a program again this year, the Summer Movie Fest where basically people could buy and purchase 5 or 8 packs to go to multiple movies. It ran from June 2 to September 30. We also did an additional 30-day of summer program, which was not a subscription-based program, but it was all about driving attendance during weak periods at the box office. So, we will continue to experiment, but we also have to work with our studio partners to make sure overall that we are doing the right thing for the business going forward. And as you know, we are very entrepreneurial and always looking for opportunities to grow the business, but we also have to do it on a smart basis with proper returns.
Aravinda Galappatthige: And then just last from me, past record. With respect to the $125 million CapEx number for 2018. Can you just remind us Gord, how much is included in that for the Recliner program and does that include a provision for Topgolf or is that something that's likely to kind of spill over to 2019? Thanks.
Gord Nelson: As was mentioned previously, we would expect our first location, Topgolf location to open in 2019. But with that said, I would expect some level of expenditure in 2018. So, our breakout is about $125 million for you, it's roughly $30 million in maintenance CapEx, which is around the historic level with what we've had, roughly $35 million towards the Rec Room, so we are looking to open two Rec Rooms and one of the smaller, the Playdium versions next year as we've announced. About $30 million in the exhibition business, which would include new builds at VIPs and about $30 million, which would include new businesses, including digital signage and a Player One Amusement Group, as well as some potential for some premium enhancements in the exhibition business, which could include some additional Recliner programs.
Aravinda Galappatthige: Thank you.
Operator: We will go ahead with our next question from Adam Shine of National Bank. Please go ahead.
Adam Shine: Thanks a lot. I want to focus a little bit maybe on the Recliner program. We had Cinemark last week, AMC I think yesterday night talking sort of 40%, 41% reclined already. So, maybe Gord or Ellis, you can talk to where you're at right now. Additionally, one of the things that they were talking about, at least Cinemark last week was that, all their recliners are doing sort of advance seat booking, and they talk to how concessions were up about 50% among patrons that were sort of doing the advance seat bookings. So maybe you can talk where you're at as well in regards with advance seat bookings. I think it would apply to IMAX, AVX maybe even VIP, but I don't know if that would take you to around 10% versus those higher numbers stateside? And are you getting the same sort of lift at the concession stand as the U.S. guys are? Thanks.
Ellis Jacob: Yes, good question, Adam. Because as you know, when we looked at the Recliner program, one of the key areas of focus for us is the area of capacity utilization. And we've been very conscious about that. And so far, we've done 12 locations, the results have been quite strong, especially as you see on the concession side, we've seen a lift. And we will continue to evaluate locations as we come across situations where we feel it's going to be beneficial to the bottom line. But we also have to be careful as to our best applications of capital and where we deploy them, as we move forward between the different new businesses and the exhibition business. That's not to say, we won't be opportunistic as required to continue to enhance that experience. On reserve seating, we continue to have all of our UltraAVX, IMAX, 4DXs and D-BOX with the ability to get pre-assigned seats and then VIP also in most of our locations, you have that privilege also. And those are the first seats that people purchase and then they go on to the other seats within the auditorium - within the complex. And as you can see, we've come close to 50% of our box office from premium offerings, which is part of that whole experience that we offer. So hopefully, I’ve answered all of your questions.
Adam Shine: Thank you for that Ellis. Maybe I can push Gord just a little bit. When we look at the box office revenue, sort of same-store minus - actually no, your net-net, I think was around minus 12% if I am correct, and then sort of minus 10% for the industry. So maybe some of the differential of underperformance was due to some of the theatre closings associated to - not theatre closings, but some auditorium closings associated with the Recliner effort. Are we going to see a bit of that bleeding into Q4 at all or maybe some of that activity already happened, sort of pre - this past weekend store release?
Gord Nelson: Adam, I think particularly looking in Q3, which is obviously the summer months in Canada and some of the regional circuits and regional locations, get a little bit more summer business that are open for extended hours. What I would say that you see in the third quarter is again, Quebec had a strong quarter in the third quarter, so we under-index in Quebec. So, I would say, half of that differential is related to - come up with for under-indexing Quebec. A quarter of that difference is related to us having screens closed during the Recliner conversion and the remainder would include other effects including kind of that enhanced seasonal business and sort of some of the regional location.
Adam Shine: Great. Thanks for that.
Operator: And our next question comes from the line of Derek Lessard of TD Securities. Please go ahead.
Derek Lessard: Hi good morning everybody. Ellis, you talked about some of the media inaccuracies out there. I was wondering if you'd be able to touch on one that you didn't talk about was regarding film costs and how they're typically negotiated?
Ellis Jacob: Well, film cost as you saw in the quarter, it was down because again of the performance of the films during the quarter. And it's all dependent on how large the box office is for a particular movie. If we end up with massive home runs, our film costs will be higher. If they are made up of singles and doubles, then on average, the film costs will be lower. So, it's largely dependent on the performance of the films, and that will result in where we end up in a particular period.
Derek Lessard: So, it's not really studios who are pushing for a bigger piece of the pie?
Ellis Jacob: No, we've had long-standing deals with all of our studio partners and we do not see any of that changing in the relative short term here.
Derek Lessard: Okay, thanks for that. We don't talk about digital commerce very much. But wondering just if you could talk about what's driving the growth there and maybe more specifically the growth in active users of the Cineplex Store?
Ellis Jacob: The store continues to improve and part of that is, as the awareness level increases and people continue to get attracted to that way of enhancing their Cineplex and their experience both on the bricks and flicks side and we've also got the UI and UH enhancements within the store itself. And we continue to enhance the capabilities of the app and I think it's an awesome experience as far as being able to access close to 8,000 movies, which is a phenomenal ability from the perspective of just using one specific app. And it’s also part of the super ticket that we talked about previously, where you can watch a movie and then you have 48 hours where you can download it and store it in your Cineplex ecosystem system and that also was very helpful overall.
Derek Lessard: Are you taking share from the other providers?
Ellis Jacob: I think we are also enhancing our position, because of the relationship we have through the SCENE loyalty program, our awareness of what you've seen at the theaters, what you haven't seen, and we can basically send you notifications that you didn't come to the theater and this movie has now moved on to the next cycle on the EST. So, we can prompt you to go and watch it on our stores. So, we have some great information and data, which we can use to continue to grow that business.
Derek Lessard : Thanks for that guys.
Operator: And our next question will come from the line of Robert Goff from Echelon. Please go ahead.
Robert Goff: Thank you very much. My first question would be with respect to the Mayweather and McGregor fight. Can you give us some sort of benchmarks in terms of how successful that might have been within the VIP auditoriums and within that context, can you talk to how you may be looking at the VIP auditoriums as a network and how that may impact the program you can run through there?
Ellis Jacob: Well, it's all about giving people options as to what's available and to diversifying the viewing within the box. The fight did well and I can tell you definitely that The Rec Room locations were pretty much sold out across the country and the VIP is very depending on the individual theatres. But overall, it was quite a success and we will continue to use that from the perspective of being able to expand, for example, with the announcement we made on the NFL on Friday. But overall, the revenue from an overall perspective, we were quite happy with it. And it would rank as one of the Top 10 events during the quarter for the events in our business.
Robert Goff: Thank you. And if I may, as a follow-up, I don't think I have ever asked a four-year question before, but in looking at your release, you showed the change in the revenue composition tracking back over the past four years. And I noted that the amusement side has gone from 1% to 13%. Could something like 20% be a realistic threshold look four years out?
Gord Nelson: Rob, I think when we look at our business models and the business maps that we have provided in the MD&A, as we'd probably communicated historically the vision is as we look to diversify the business, this could at some point and - not four year, but extending beyond four years could each of those three business sectors be equal contributors.
Robert Goff: Okay. Thank you.
Operator: And our next question comes from the line of Kenric Tyghe of Raymond James. Please go ahead.
Kenric Tyghe: Thank you, good morning. Ellis, I'm going to try go off to some of the more recent headlines, a little more directly, which is, I struggle to believe that on the film cost side, that some of the headlines with respect to Star Wars relate to the large or national change, and wouldn't perhaps relate more to the independents in terms of potential film cost hikes or otherwise. Is it a fair characterization for me to believe that you wouldn't expect to see any major changes in your film costs during the length of time you or Regal or the likes would be expected to carry a Star Wars? What we're not seeing is any major shift in the balance of [indiscernible] by the studios or am I perhaps misreading that and it does apply to the majors, as well as the independent? I just struggle to get my head around that sort of a move by the studios, am I perhaps missing something here?
Ellis Jacob: No, you summed it up correctly. And the fact that, we have relationships with large studios and nothing has change from the last number of years. And what you see, when you see the changes from quarter-to-quarter was largely a result of the performance of the movies.
Kenric Tyghe: And just on that one. Ellis, if we could perhaps just continue down that line. I think certainly the reach for a number of people on some of these headlines has been looking at being something of a rebalancing of the ecosystem or a bit of a leading indicator on a cash grab by some of the studios. I mean would that also be a bit of a miss characterization, a bit of a misunderstanding of how the space is evolving?
Ellis Jacob: Yes, the studios are our partners and it's in their interest for us to be a business that's healthy and continues to grow and we do a number of things with them at Cineplex. For example, in the case of Disney we have the VOID in our Rec Rooms, Disney is a partner in that particular virtual reality space. We sell games to Disney and in that part, we work on many, many things together. So, I think the relationship goes in most cases, way beyond just the movie theater, especially in the case of Cineplex.
Kenric Tyghe: Great. Thanks so much, Ellis.
Operator: [Operator Instructions] We will take the next question from Jeff Fan of Deutsche Bank. Please go ahead.
Jeff Fan: Thank you, good morning. I got a few to finish it off here. First on the box office for the year. Obviously, the biggest debate out there, one of the biggest debate is whether - what we're seeing in box office performance is secular or just cyclical. But if I just look at the full year for this year, a lot is certainly riding on the fourth quarter and a lot is riding on the film slate, especially Star Wars. As you look out, I know it's difficult to predict, but I think in order for the market to start to side with the bulls [ph] and think that this is not a secular trend is to have a very strong fourth quarter, 4Q showing. Do you think that there is enough fuel there to bring you from what the year-to-date performance has been to a positive box office number for the year? And then my second question is on the PVOD. Assuming that the studios are going to try this model, the distribution inside the home, are there any things that you guys can do to ensure that the distribution inside the home is not a fair game between yourselves and some other distributors out there, cable companies, telcos, et cetera who have boxes sitting inside a home? Wondering if you can - if there is anything that you can secure to ensure that you protect your economics there? Thanks.
Ellis Jacob: To your first question, Jeff, on the issue of cyclical versus systemic, I think the best example is the movie IT, which came out in September, it became the highest grossing horror movie ever. And what it boils down to is the fact that content is there, people do want to have that social experience. We saw this weekend with Thor, which opened to great numbers much higher than most people have anticipated. In Canada for the fourth quarter, we are in a better position because Blade Runner actually over-performed in Canada compared to the U.S. with the Canadian producer - the director behind it. So, we are in a better position going into the fourth quarter. And I think given the product that's available with Justice League being big movie, Coco, Star Wars, Jumanji, Showman, there is a ton of movies that are coming out. And I feel we should at least get to a position where we'll probably balance out for the year, compared to 2016. And you have to remember, the first quarter of 2017 was a very strong quarter. So, you're going to have these variations from quarter-to-quarter and I always suggest you got to take a longer-term view of where things are at. On your PVOD question again, when we look at Cineplex, we've spent a great deal of time and money, developing our Cineplex Store, which would basically allow us to be part and parcel of the whole PVOD experience. We also have the advantage of the SCENE loyalty program, which 8.7 million members have great data on them. And we are working closely with our studio partners to whatever ends up happening, to be in a situation where it's a win-win for both of us.
Jeff Fan: Great. And if I can just - just one final one for Gord. On the capital spending for this year, can you just remind us of what the general plans are for the year and also for, if we can look out to 2018?
Gord Nelson: Sure. I mean we kind of confirmed the previous guidance of this CapEx for 2017 will be roughly $150 million and then the guidance for 2018 was $125 million. This year as you recall, the additional CapEx that puts us over and above that traditional run rate is about $40 million that we're spending under the Recliner program, as well as additional sort of $10 million that we've been investing in the P1 AG business to set up a retail display installation in the U.S., as well as some additional CapEx in that business. But maintenance continues to be around $30 million both 2017 and 2018 and then the remainder is our investment in growth CapEx, which [indiscernible] earlier on in the call.
Jeff Fan: Great, thanks.
Ellis Jacob: Thanks Jeff.
Operator: There are no further questions on this call. I would like to hand it back over to Mr. Ellis Jacob for closing remarks.
Ellis Jacob: Thank you very much, and thank you for joining us this morning. We wish you all a very happy and healthy holiday season, and look forward to speaking with you in the New Year with our Q4 and year-end results. Thank you.
Operator: This concludes today's call. Thank you for your participation. You may now disconnect your lines and have a wonderful day.